Operator: Good day, ladies and gentlemen, and welcome to the ZIOPHARM Second Quarter 2018 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call maybe recorded. I would now like to introduce your host for today’s conference, Mr. David Connolly, Vice President of Corporate Communications and Investor Relations. Sir, you may begin.
David Connolly: Thank you. Earlier today, we released our financial results for the second quarter 2018 with a press release that is available on our website. During today’s call, representatives of the company will make a number of statements that are forward-looking, including statements regarding the potential of therapeutic candidates in our development pipeline. Forward-looking statements are subject to numerous risks and uncertainties, many of which are beyond our control including the risks and uncertainties described in our SEC filings. And with that, I will turn the call over to Laurence Cooper, our CEO.
Laurence Cooper: Thank you, David, and thank you all for joining me today. So we’ll begin on Slide 3. Let me first go over the agenda and the speakers for the call. Initially, I’ll provide updates on the CAR-T programs, including the current status of the FDA hold on the third-generation trial targeting CD19, the status of our TCR program with Dr. Rosenberg and his group at the NCI and then an update on controlled IL-12 studies that are enrolling patients both as monotherapy and in combination with immune checkpoint inhibitors. Then, our Lead Director – he’s been newly appointed, Scott Tarriff, will outline plans from the perspective of our board. And finally, our Chief Business Officer and Interim COO, David Mauney, will provide an update to our current balance sheet and cash time line and a brief overview of other activities. Just transition to Slide 4. And with that, and at the beginning, let me start with some reassurance. All of us at ZIOPHARM believe we’re on the edge of achieving important value driving milestones. Our platforms and vision remain intact, and we are executing on our plan for growth. And we expect this trend to continue, even to accelerate. We do acknowledge the downturn in our stock and the anxiety it has caused. But let us keep in mind, however, where we have come from and where we are going. Over the last approximately three years, we have transitioned to a broad immuno-oncology company focused on driving forward two major and distinct platform technologies that, when successful, will have overcome the major problems in the field of immuno-oncology that our competitors face: namely, how does one target solid tumors and how does one bring down the costs of cell therapies? The field of immuno-oncology will not reach its full potential unless these two problems are overcome. And the good news for ZIOPHARM is that we’re already implementing the answers with our two platform technologies. One platform is a cell therapy approach based on the Sleeping Beauty system, the most clinical advanced approach to genetically modifying cells without using a virus. And the second platform being a gene therapy technology to control IL-12. IL-12 being a master regulator of immune system. We at ZIOPHARM understand the complexities relative to being first movers, and we feel that the market opportunity for our technologies is even stronger today. So let’s review together where these program stand beginning on Slide 5. I’ll start with the Sleeping Beauty platform for cell therapy and an update on our IND status regarding our third-generation Phase I trial to evaluate CD19-specific CAR-T, which can be produced in under two days, or as we say, using point-of-care technology. We announced in May that the IND have been filed by MD Anderson, the trial sponsor. And in June, we announced that the FDA has requested more information and place this IND on clinical hold. We now know what the FDA requires to complete the IND process. And ZIOPHARM, Precigen and MD Anderson Cancer Center all working together in an expedited fashion. With regards to the questions in the hold letter, the agency has requested additional information related to the chemistry manufacturing and controls. We appreciate the agency’s feedback, and we are confident that this time that these questions that the agency has post can all be addressed. Our approach to the two-day very rapid manufacturing of autologous T cells is bold. Our T-cell product is based on cutting-edge science, and we understand our approach will be scrutinized given that we are first-mover for the manufacture of autologous T cells in under two days. Our guidance for the beginning of this year was to initiate the trial in the second half of 2018. And thus, we already built in a buffer in case additional time was needed to file in the IND. ZIOPHARM and our partners that MD Anderson and Precigen are rapidly executing on the plan to bring IND off hold as soon as possible. For example, we already began preclinical studies to develop additional data to support the IND application. We anticipate these studies, which are expected to take a few months to complete, will provide us with a data we need to answer the agency’s questions. Indeed, we are focused on responding to the agency as soon as possible. But the timing of the clinical trial anticipated to be initiated by the end of this year may be impacted. And as we get more clarity from the FDA throughout this process, we’ll get a better idea as to the effect on our timelines. What happens after this IND is accepted? Well, we’re not waiting to find out, and we’re already working closely with MD Anderson to get the trial team up and running. Thus, as soon as we’re off hold, we can complete this process to begin recruiting and treating patients. We anticipate enrolling up to 15 patients and look forward to sharing data and updates with you along the way. In the meantime, our second-generation trial infusing CD19-specific CAR-T manufactured with the Sleeping Beauty system continues to enroll and treat patients at MD Anderson. This study helps us advance our understanding of T-cell dosing, CAR design, approaches to reduce the time to manufacture the T cells and understandings around the release criteria. This effort will continue until we commence the third-generation trial, at which point we’ll stop enrolling on the second-generation trial. Importantly, we highlighted some patients in the second-generation trial have achieved complete responses as six months post infusion, which together with the data which we published from our first-generation trial, indicates that the Sleeping Beauty system can insert meaningful anti-tumor responses. Thus, our learnings and these clinical data bode well for our groundbreaking third-generation study, which we also call point-of-care. Just transition to Slide 6 and my update on the CD33 CAR-T program. We are treating patients at MD Anderson with refractory AML using a lentivirus to genetically modify T cells. These patients can be difficult to enroll and treat as they are so medically fragile, but we are learning a great deal. And just as a reminder, this trial was designed to evaluate CD33 as a target, and we expected to decide on whether to transition this to the Sleeping Beauty platform and its very rapid non-viral manufacturing and to do this by the end of the year. On Slide 7, I’ll provide a brief update regarding Merck KGaA as they have selected two targets to pursue using ZIOPHARM’s Sleeping Beauty platform technology. The initial proof-of-concept preclinical studies have been successfully completed with Precigen, and Merck KGaA is currently evaluating next steps for these targets. And we look forward to providing you updates on Merck KGaA’s progress in the future. Slide 8. Now let me turn to the TCR programs. As you know, we are currently working with the NCI and Dr. Rosenberg under a CRADA, leveraging the Sleeping Beauty platform to generate T cells that express personalized T-cell receptors, or TCRs, to target neoantigens buried within solid tumors. We believe we stand alone in this area as the Sleeping Beauty platform provides a practical, non-viral approach to manufacturing tumor-specific, and thus, patient-specific autologous T cells to go after the neoantigens. We do not believe the viral-based genetic modification processes are going to be scalable to undertake commercial endeavors for T cells targeting neoantigens. I’m delighted to report there’s a tremendous drive to the NCI on our CRADA. They have developed a process using our Sleeping Beauty system to enable these neoantigen-specific TCRs to be expressed on patient’s T cells. It’s critical to note that this approach to manufacturing had to be individualized, or said differently, personalized, as each TCR to each patient is different. And this contrasts with the work we and others are undertaking with CARs, where one CAR design can serve the needs of many patients sharing a cancer type. Thus, the Sleeping Beauty system is ideally suited to this new manufacturing as the non-viral DNA plasma can be readily adapted to express unique TCRs and the genetically modified T cells can be manufactured based on technologies the team at the NCI has already successfully tested in humans. The path to the clinic and the map for the IND filing is in place, and we remain on track to submit the investigator-initiated IND in the fourth quarter of this year. As we anticipated, targeting neoantigens within solid tumors has become a hot area. Indeed, a very hot area. The ability to apply therapies that recognize neoantigens using TCR-modified T cells offers real possibilities of targeting solid tumors, which will likely dwarf the market for CAR-T, which are largely combined to the therapy for hematologic malignancies or blood cancers. As such, we’ve accelerated our global TCR outreach, we’re discussing with other parties about ways to expand on this program. We believe the field of TCR therapy for solid tumors is wide open and filled with opportunities, and we have an exciting opportunity therein. Slide 9. Let me go on and address our controlled IL-12 program, or platform for gene therapy. At ASCO this year, we updated the survival data from our Phase I trial delivering IL-12 as a single agent in patients with recurrent glioblastoma, or rGBM. As of May 2018, we showed an encouraging median overall survival of 12.7 months, and that have been sustained for patients treated with a single injection of adenovirus, or as we say, Ad-RTS-hIL-12 plus 12 milligrams daily dosing of veledimex. And that’s what’s sustained to a mean follow-up time of 12.9 months. This median overall survival compared very favorably to the five months to eight months of median overall survival established in the historical controls with patients with recurrent GBM, which is a key reason why this platform garners continued interest. To build upon these clinical data, we are enrolling patients at multiple sites in the United States in an expansion trial of this Phase I study and plan to add up to 25 patients in the cohort receiving 20 milligrams daily dosing of veledimex. The patient population is further refined based on our past learnings in that enrollees will not have received bevacizumab for their disease and are not receiving steroids for the four weeks prior to the therapy initiation. And I’ll remind everyone, in the past, we’ve shown data that patients with recurrent GBM receiving low-dose corticosteroid had a 100% overall survival after receiving our controlled IL-12 platform. Early this year, we embarked on efforts to broaden the clinical reach for this technology based on interest and feedback from potential partners. First, we’re combining our IL-12 therapy with immune checkpoint inhibitors. And this past quarter, we dosed the first patients in our Phase I clinical trial to evaluate the controlled IL-12 platform in combination with Opdivo, a checkpoint inhibitor, in adult patients with recurrent GBM. We’re pleased to report this patient is doing well, and we are now actively enrolling additional patients on our way up to 18 enrollees with recurrent GBM in the single-arm multi-institution study, which will evaluate the safety and tolerability of this combination regimen, establish the optimal dosing and measure overall patient survival. Many have tried and many have failed to control IL-12. However, we are the company that is successfully learned to harness this important cytokine. The reason so many have attempted to work with this powerful cytokine, IL-12, and the reason our data stands out is that IL-12 is a master regulator of the immune system capable of kickstarting cascaded immune activity and remodeling the tumor microenvironment to achieve powerful anticancer effects. We know this forces the tumor cells to begin defending themselves against the invading army of T-cells, and they do this with immune checkpoints. This gives us a clear indication that combining our IL-12 platform with immune checkpoint inhibitor, such as that blockading PD-1 or anti-PD-1, has the potential to further impact solid tumors. Simply put, immune checkpoint inhibitors, such as those walking PD-1 and PD-L1, will be compromised and rendered ineffective if insufficient T cells are not in the tumor. Our ability to control IL-12 enables us to put T-cells in the tumor. In other words, IL-12 can turn cold tumors hot. These clinical data and plans establish a strong future for our controlled IL-12 platform. It has become clear to us the potential partners wish to see antitumor activity of the drug as a single agent and that drug can indeed drive T cells deep into the tumor and do so with a sustained effect. Our data already suggests we can do both, which bodes well for the future of that – this platform. We look forward to announcing our collaboration validating the potential for controlled IL-12, and we plan to move forward with one or more additional tumor types to explore the potential of this powerful cytokine in combination with immune checkpoint inhibitors. We’re pushing the pedal in all areas. We are growing our company, strengthening our board and advancing each of our two core platform technologies based on a vision that remains very much intact. We believe the hold on the third-generation trial targeting CD19 is solvable, the TCR program with nearing the clinic and producing many new opportunities, and the IL-12 platform is well positioned to drive strong collaborations and partnerships. Slide 10, please. I just want to take a little time out and offer a really my gratitude and my thanks to Sir Murray Brennan, a world leader in oncology, for his commitment to and leadership of ZIOPHARM, as our formal Lead Director. As well as the distinguished Senator Wyche Fowler, who has faithfully worked with ZIOPHARM for many years. And I’m now delighted to turn the call over to our newly appointed Lead Director, Scott Tarriff, to discuss some of the steps the company is undertaking, most notably, the changes to our board announced just this week. Scott has been a valuable member of our board for about three years and is a dynamic and experienced leader with a well-documented history of success, including his current role of CEO of Eagle Pharmaceuticals. Scott?
Scott Tarriff: Well, thank you. Thank you, Laurence. First, let me say, that I am proud to have been asked to take over as Lead Director for ZIOPHARM Oncology. I’m excited about what’s in store for this company and the potentially transformative technologies we’re advancing. Our focus is on driving forward these core technologies, Sleeping Beauty and controlled IL-12, as they are on the precipice of making a meaningful impact on cancer and driving shareholder value. Our first task in hand is rebuilding and strengthening our Boar of Directors by broadening the experience and expertise of our members. We have started this process with this week’s nomination of two new directors: Elan Ezickson, the Chief Operating Officer and Head of Corporate Development of Scholar Rock; and Doug Pagán, the CFO of Paratek Pharmaceuticals. The nominations of Doug and Elan marked the beginning of real changes to the board as we expect to add more directors in the coming weeks and months. We have seven authorized seats on the board, and two remain vacant. We have several excellent and interested candidates in various stages of the recruitment process, and I am confident we will build a new board that will be very well suited to support our exciting plans. Lastly, as we remain focused on advancing our platform technologies, our company needs to grow in terms of people, adding talent to match our future expectations. As a result, we expect to recruit the talent needed to complement Laurence and his team in order to efficiently execute on our plans. I’m excited about my role, thrilled about the additions to the board, and I look forward to working with Laurence and his team to help build the best possible ZIOPHARM. When these efforts prove successful, all key constituents, partners, investors and patients will see tremendous benefit and value. With that, I look forward to welcoming Elan and Doug to the team and thank the continued support of Laurence and the rest of the ZIOPHARM team. And I’ll call the call back to Laurence.
Laurence Cooper: Thank you, Scott. And we’ll go to Slide 12. I appreciate your confidence in me and the team. And I look forward to working with you and the new board. I would now like to turn the call over to our Chief Business Officer and Interim Chief Operating Officer, David Mauney, who will provide a brief on our finances and other activities. David?
David Mauney: Yes. Thank you, Laurence, and thank you, Scott, for the remarks. And thank you to everyone on this call. We’re now on Slide 13. And to start, I would actually go directly to our balance sheet status. As we detailed in our press release this afternoon, we have approximately $40.4 million in cash at ZIOPHARM as of the end of the second quarter, June 30, 2018. This $40.4 million is a primary source of cash for our controlled IL-12 program, the work we do at the NCI as well as our G&A. So we believe we have time to drive real value for these two programs and cover our costs over the coming months with our existing cash and potential for collaboration. In addition, there’s $31.7 million at MD Anderson prepaid to cover our clinical and preclinical development work done there. These resources cover all of our existing CD19 and CD33 CAR work at MD Anderson as well other important initiatives we are exploring and investigating in partnership with them. Most importantly to remember, these funds available at MD Anderson will cover all of these activities just mentioned well beyond 2019. I want to reiterate, as a result, that we are not currently pressed or feeling rushed towards a heavily dilutive financing, particularly given our current stock price. We are working very hard in this area and will continue to update you as we move towards a longer-term balance sheet security plan. On to Slide 14. And as Laurence highlighted, we are also growing as an organization. In fact, I am pleased to announce that, since our last call, we have added to our team, including key hires and program management in Investor Relations. First, and in June, Dr. Catherine Venturini joined the company as vice President and Program Lead for the controlled IL-12 gene therapy program. Previously, Dr. Venturini spent 10 years in discovery and in development at Bristol-Myers Squibb, managing early and late-stage programs, including Abilify, SPRYCEL, EMPLICITI and Yervoy. Most recently, she worked at Biogen, and later its spin off company Bioverativ, where she led clinical development and clinical operations teams. Also, I’m very pleased to report that, just this week, Mike Moyer joined us as Vice President of Portfolio Strategy, a newly created position in Investor Relations. Mr. Moyer joins ZIOPHARM from Stifel, where he was the firm’s first health care sector desk specialist. Prior to that, he was in institutional sales at Summer Street Research. Mike will work closely with me with David Connolly and the team at Trout Group as we seek to strengthen our current and future institutional relationships. Now let me speak briefly on some business development activities. Again, we have said this in the past, and it continues today, we have multiple advanced-stage business development opportunities in front of us. And this is both in the U.S. and abroad. And we realize the need to close these potential deals sooner than later. But as I said before, we’re not going to do a deal just to do a deal or get it done as we believe our platforms represent tremendous value, and we have patience. More specifically, and as Laurence mentioned, we are working diligently and with urgency on closing clinical collaborations around our IL-12 platform, which we will believe – which we believe will validate our approach. Our clinical work is still early. The promise of our Sleeping Beauty non-viral manufacturing to target TCRs and neoantigens, as well as its flexibility to accommodate different CAR targets is gaining traction worldwide. Diving a bit deeper on our IL-12 platform, we pivoted earlier this year to add the shots on goal in the form of combination therapy, first, with immune checkpoint inhibitors as well to target multiple tumor types. Many, if actually not all of our conversations with would be strategic partners, send as in this direction. There are two lines of evidence that fuel these discussions. As Laurence mentioned, first activity is a monotherapy; and second, kickstarting the immune system to make checkpoint inhibitors work better. I believe we are one of the very few companies that can do that, and that belief has spread. Lastly, we are also focused on improvements at the operational level throughout ZIOPHARM as we grow. As you’ve heard, we began to rebuild our board. As Scott highlighted, we are accelerating efforts to expand our team at ZIOPHARM in anticipation of our immediate and future plans. And we’ve also been fortunate to enjoy globally recognized partners in the corporate, government and academic arena. And we have a renewed focus on optimizing each and every one of these relationships. In sum, I want to thank all of our shareholders for supporting us during these turbulent times and want you to know that inside of the walls at ZIOPHARM, a high level of optimism and enthusiasm is building. And with that, I’ll turn the call back over to Laurence.
Laurence Cooper: Thank you, David. Slide 15. In conclusion, I believe that today is an opportune time to be a shareholder and a supporter of ZIOPHARM. Together with our board, we’re becoming stronger as an organization, and we’re completely dedicated to our goals. I end this call as I started. ZIOPHARM has two potential solutions to solve the problem facing companies who are serious about treating cancer using immuno-oncology. Our two platforms address the critical issues of how to target solid tumors and how to bring the cost of immuno-oncology under control. All of us at ZIOPHARM have the passion and expertise to see these efforts bear fruit, realizing, of course, that these are cutting-edge technologies, and they take time to generate data and achieve consensus. We’re not here. I’m not here to iterate on the mundane, but rather to strive to resolve the major challenge facing the immuno-oncology world. This is hard work, but we are up for the challenge. And as we pass this test, the investors, most importantly the patients, will be rewarded for many years to come. So thank you. So now let me turn it over to the operator for questions and answers.
Operator: Thank you. [Operator Instructions] Our first question comes from Ren Benjamin with Raymond James. Your line is now open.
Ren Benjamin: Hey, good afternoon, guy. Thanks for taking the questions and congratulations on the progress. Laurence, can we talk or dig into a little bit more regarding the second-generation product and the ongoing study? When might we see some updated results? And usually, when we’re – at least when I think about it, when we’re transitioning from second generation to third-generation. And it is kind of like a quantum leap, the switch. Transaction efficiencies as well as comparable efficacies to what might already be in the marketplace, I think, would be a very important comparison to do. And can you just talk a little bit about what you’re seeing in that second-generation trial and how confident you feel that it could be translated into the third generation.
Laurence Cooper: Sure. So thank you, yes. So we’ll update it or report at a major medical meeting, so stay tuned there. The trial was set up to help the company understand the transition from going – from an academic trial, which was really the first-generation technology, to the new technology, which is what we call the third generation. And I realize that the leap essentially to go from what was 28 days of manufacturing and this is now revisiting some history here, but the first-generation trial took four weeks to produce the T cells because, of course, this is the first time in human history a transposed-on system has been used. And so we worked very closely with the agency to establish the release criteria and so forth. And that resulted in a 28-day process. That process, as we published in JCI a couple of years ago now, resulted in meaningful outcomes. And indeed, if I remember correctly, at the recent ASH, we were able to update the survival curves and showed, for instance, in patients who had autologous T cells for non-Hodgkin’s lymphoma, they had an 80% or so survival after the stem cell transplantation. And we could see the T cells in some of these patients for up to four years. These are really important benchmarking studies to show that the Sleeping Beauty system work. But the bridge to go from 28 days to less than two days is a big jump. And you can already see that the agency is working very hard with us to understand that jump. And so we derisked – significantly derisked the program by undertaking the second-generation trial. And it answers questions that is central essentially to starting the point-of-care trial, the less-than-two-day manufacturing. In other words, we reconfigured the CAR design. We have shortened the manufacturing time. We’re understanding T-cell dosing. And importantly, we’re understanding the release criteria. Because as you can anticipate, if you’re doing less-than-two-day manufacturing, that also encompasses not just the production of cells, but the release of cells. But all has to be done in under two days. So the first part, the production of the T cells, that is engineering around the membrane-bound IL-15. It’s engineering around the Sleeping Beauty system. And it’s engineering around the switch. That essentially is its own package, but the second campaign has to be undertaken to understand essentially can we get the release testing done under the same – essentially the same time constraints. And the answer to that is yes. Because as we go on through the second-generation trial, we’re pressure testing all of those ideas. So let me just kind of summarize over the long answer, and I apologize to the listeners. The bottom line is the second-generation trial is the transition trial. And we’ve got many moving parts. Despite many moving parts, we are seeing complete responses in patients that last meaningful amounts of time. And that, together with the first-generation trial, really, I think, underscores our excitement about moving to this less-than-two-day manufacturing.
Ren Benjamin: Great. And just to – I know you mentioned at major medical conference. The next major one that I can think of is ASH. Would that be a fair assumption are we assuming this year as far as an update goes? Or could it be next year?
Laurence Cooper: Yes. I think just stay tuned on that. There’s a lot of data coming in on that trial, and we want to provide an update. And of course, we want to provide an update as we transition to the third-generation trial.
Ren Benjamin: Got it, okay. Just switching gears to the TCR programs. At least from a 20,000 kind of foot view, can you talk a little bit about maybe the learnings from others that have kind of pioneered programs in the TCR space? And any sort of learnings regarding the hemology of these newly identified proteins to cell proteins and how you plan on kind of getting this.
Laurence Cooper: Right, right. I mean I could go on for an hour. Sure, but the audience doesn’t want that. So let me kind of just hit the high points here. So the hallmark of cancer – one of the hallmarks of cancer is genetic instability. What does that mean? That means that a cancer cell emerges because of a set of genetic insults that essentially has reprogrammed that cell to become autonomous. Those genetic insults can now be sequenced and identified, so they are the essentially the Achilles’ heel of that tumor. Other lesions, other genetic events occur in cancer cells, but they’re not part and parcel of the driver mutation that give rise essentially to the cancer cell, or as we would say, oncogenesis. And examples of those ancillary mutations and overexpressed antigens are, for instance, from the Mage family, the cancer testis family. Those mutations – excuse me, changes – those changes are not necessarily critical to the cancer cell biology. So we distinguish ourselves from our competitors because we’re going after the fundamental changes, the genetic aberrations that give rise to cancer. Others are going after what I will consider a bystander event. What does it mean for ZIOPHARM is that we can therefore target the heartbeat of the cancer and are not restricted to a subset of cancers that have these overexpressed for instance cancer testis antigens, which I would add by parenthesis are the minority of cancers. So we stand out because we know, like Dr. Rosenberg knows and like many know, that really you have to go after the neoantigens. That’s the key. The problem has been is the field has lacked a therapy. So many companies have embraced vaccines, and we can talk about that as a compare and contrast another day. But we have said that, if you’re going to realistically eradicate metastatic solid tumors in a patient, you have to put T cells in that patient. And you have to put T cells in the patient that have neoantigens, and we are the only company that can do that.
Ren Benjamin: Got it, okay. And then just one final one for me. I know you talked about partnerships before, and you can’t go into any sort of details, but maybe can you give us a sense of what’s the ideal deal that I think you guys would be either happy with or you’d be looking for? Are you happy with a worldwide rights being given to somebody else and taking the royalty? Would you prefer 50-50? I mean, how should we be thinking about this discussion?
Laurence Cooper: Sure. So There’s several opportunities to partner with ZIOPHARM. One of them is, for instance, in our cell therapy program around our technologies for point of care. We see that as an early opportunity, and we see additional work in that area will drive value. Similarly with the TCR program, because we see that if we take on the responsibilities to get a really exciting data, so the chances of partnership, meaningful partnerships go up. So that really now come to the IL-12 program. That data set, with the two founding principles, in other words, that we see single-agent activity, and we can see call tumors turning hot, generates a lot of enthusiasm and a lot of interest from partners. And as David said in his remarks, we’re essentially looking carefully at those opportunities and looking for essentially that value proposition that the shareholders and the stakeholders around ZIOPHARM can participate in. And so we’re basically – I can’t go much farther because obviously we would tip our hand. I think David said it, and I embrace it, these conversations are pretty advanced. And so we’re looking forward to driving those to conclusion.
Ren Benjamin: Great. Thanks very much for taking the questions.
Laurence Cooper: Sure, thank you.
Operator: Thank you. I’m not showing any further questions at this time. I would now like to turn the call back over to Laurence Cooper for any closing remarks.
Laurence Cooper: Okay. So thank you all for your attention, and we really appreciate you joining us this afternoon. Thank you so much, operator and everyone.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude today’s program, and you may all disconnect. Everyone, have a great day.